Operator: Greetings.
Raymond Hanley: Welcome to the FHI Q4 2025 Analyst Call and Webcast. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please note this conference is being recorded. I will now turn the conference over to your host, Raymond J. Hanley, President of Federated Investors Management Company. You may begin.
Raymond J. Hanley: Good morning. Thanks for joining us. We will have brief remarks followed by Q&A. Leading today's call will be John Christopher Donahue, CEO and President of Federated Hermes, Inc., and Thomas Robert Donahue, Chief Financial Officer. Joining us for the Q&A are Saker Nusseibeh, the CEO of Federated Hermes Limited, and Deborah Ann Cunningham, Chief Investment Officer for Money Markets. During today's call, we will make forward-looking statements, and we want to note that Federated Hermes, Inc.'s actual results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given as to future results, and Federated Hermes, Inc. assumes no duty to update any of these forward-looking statements. Chris?
John Christopher Donahue: Good morning. I will review Federated Hermes, Inc.'s business performance, and Thomas Robert Donahue will comment on the financial results. We ended the year with a record assets under management of $903 billion, led by gains in money market and equity strategies. During Q4, equity assets increased by $3.2 billion or 3% from the prior quarter, with about half of that increase coming from net sales. 2025 saw record gross equity sales of $31 billion, including $9 billion in the fourth quarter. Fourth quarter net equity sales were $1.5 billion. Our full-year 2025 net equity sales of $4.6 billion showed substantial improvement from net redemptions of $10.7 billion in 2024. Equity sales results were driven by MDT fundamental strategies. MDT equity and market-neutral strategies had a record $4 billion of gross sales and over $2 billion in net sales in the fourth quarter. For 2025, MBE gross sales of $19.1 billion and net sales of $13 billion were both record highs. For Q1 through January 23, these strategies had net sales in combined funds and SMAs of just under $700 million. Looking at MDT fund performance rankings, as of December 31, six of nine MDT strategies are in the top performance quartile of their Morningstar categories for the trailing three years. Four strategies are in the top decile of their Morningstar category for the trailing three years. We had 24 equity and SMA strategies during the fourth quarter, including a variety of the MDT offerings, the Asia ex-Japan Fund, and September 2025 has seen strong demand from clients outside the US, with over $500 million in net sales from inception through year-end. Looking at our equity fund performance, at the end of the year and using Morningstar data for the trailing three years, 49% of our equity funds were beating peers, and 27% were in the top quartile of their category. For Q1 through January 23, combined equity funds and SMAs had net sales of $432 million. Turning now to fixed income, assets ended the year at $100 billion, down $1.7 billion from the prior quarter. Fixed income had Q4 net redemptions of $2.8 billion, including about $1.7 billion from two large public entities that have regular sizable inflows and outflows. These fixed income net redemptions included the $1 billion high yield fund net redemption included in Q3's pipeline numbers. We had 28 fixed income funds and SMAs with net sales in Q4, led by the ultra-short funds of $624 million, total return bond of about $200 million, short-term income of over $100 million, and core plus SMA of almost $100 million. Regarding performance at the end of 2025, and using Morningstar data for trailing three years, 42% of our fixed income funds were beating peers, and 18% were in the top quartile of their category. For Q1 through January 23, combined fixed income and SMAs had net sales of $139 million. Turning to the alternative and private markets category, assets increased slightly, and net sales were positive. The MDT market-neutral fund and recently launched ETF combined for $149 million of net sales. Positive net sales were also achieved in our European direct lending funds, private equity funds, and the project and trade finance tender fund, partially offset by net redemptions in real estate strategies. We held the final close of our European direct lending III, the third vintage of our European direct lending fund this month. We raised $780 million. EDL One raised $330 million, and EDL Two raised about $700 million. We are currently in the market with a global private equity co-invest fund, the sixth vintage of the PEC series. To date, we have closed on approximately $300 million. The PEC series, PEC One to Five, raised approximately $400 to $600 million in each fund, and PEC Five raised about $500 million. We are also in the market with a European real estate debt fund, a new pooled European debt fund. We are progressing towards the FCP acquisition to closing the FCP acquisition during 2026. The acquisition will add standing UK-based US multifamily housing expertise to our long real estate capabilities. The UK real estate team was recently selected as the exclusive developer on a significant mixed-use development opportunity in Manchester in the UK. This week, at the Asia Financial Forum, we announced plans to open a Hong Kong office to capitalize on the region's rapidly growing wealth market. Subject to regulatory and other necessary approvals, the planned Hong Kong office represents a strategic expansion as we deepen relationships across the Asia Pacific region. The planned office will complement our existing regional offices in Singapore, Tokyo, and Sydney. Across our long-term investment platform, we began 2026 with about $2.7 billion in net institutional mandates yet to fund into both funds and separate accounts. Approximately $1.2 billion on a net basis is expected to come into private market strategies, including direct lending, private equity, and trade finance. Equities expected additions totaled $1.4 billion, with about $1.3 billion into MDT strategies and $100 million into international and global equity strategies. Fixed income is expected to have net sales of about $100 million into a low-duration strategy. Moving on to money markets, we reached another record high at the end of 2025 for total money market assets, which increased by $30 billion to reach $683 billion. Money market fund assets increased by $6 billion or 3% in Q4 to reach a record high of $508 billion. Money market separate accounts increased by $14 billion in the fourth quarter, reflecting seasonal patterns. Market conditions remain favorable for cash as an asset class. In addition to the appeal of relative safety in periods of volatility, money market strategies present opportunities to earn attractive yields compared to alternatives such as bank deposits and direct investments in T-bills and commercial paper. Our estimate of money market fund market share, including sub-advised funds, was about 7% at the end of 2025, down from 7.1% at the end of Q3. Regarding digital asset efforts, we are advancing a series of strategic initiatives that bring together the strength of money market investment and operational expertise with the efficiency and transparency of blockchain technology. Our partnership with Archax, the first FCA-regulated digital securities exchange to offer tokenized usage money market funds, marks its first major non-US digital asset initiative. The platform enables professional investors to hold beneficial ownership tokens across multiple blockchains and access money market liquidity directly on-chain. The Archax relationship complements our US digital efforts, where we are a sub-adviser for the Superstate Short Duration US Government Securities Fund, a private tokenized fund. We are also participating in the launch of a collaborative initiative between BNY and Goldman Sachs that will utilize mirrored tokenization of money market fund shares to improve transferability, collateral utility, and real-time ownership tracking of money market fund shares. We have a robust pipeline of tokenization projects in the US and abroad, including the development of efforts for a Genius-compliant money market fund and ongoing integration discussions with several leading firms developing digital technology for fully on-chain trading and settlement of tokenized share classes. We believe these efforts position the firm well for the digital transition as we work collaboratively with service providers and stakeholders on developing new standards for combining liquidity, investor protections, and blockchain-enabled capabilities for modern financial markets. Looking now at recent asset totals as of a few days ago, managed assets were approximately $909 billion, including $684 billion in money markets, $101 billion in equities, $101 billion in fixed income, $19.5 billion in alternative private markets, and $3 billion in multi-asset. Money market mutual fund assets were at $500 billion. Tom?
Thomas Robert Donahue: Thanks, Chris. For Q4 compared to the prior quarter, total revenue increased $13.4 million or 3%. Revenue from higher money market assets provided $8 million of this increase, while higher equity assets added $5.5 million. Q4 revenue included $8.2 million of real estate development fees for projects that did not advance into construction and is recorded in the other service fee line item. Total Q4 carried interest and performance fees were $1.6 million compared to $3.6 million in the prior quarter. Approximately $570,000 of the Q4 fees were offset by nearly the same amount of compensation expense. Q4 operating expenses increased by $7.3 million or 2% from the prior quarter due mainly to higher distribution expense of $8.8 million from higher fund assets. Transaction costs from the FCP acquisition were about $1.3 million in Q4, nearly all in professional service fees. Additional transaction costs in 2026 are estimated to be approximately $9.2 million. The timing of most of these costs is based on the transaction closing date, which is expected to be in Q2 of this year. Most of these costs will be lending consent fees in the professional service fee line item. In the other expense line item, FX and related expense decreased by $3.1 million in Q4 compared to the prior quarter. The effective tax rate was 24.4%. We estimate the tax rate to be in the 25 to 28% range for 2026. At the end of 2025, cash and investments were $724 million. Cash and investments, excluding the portion attributable to non-controlling interest, were $680 million. We expect to use $215.8 million in cash and $23.2 million in FHI Class B stock for the initial purchase price of the FCP controlling interest acquisition. Looking ahead to Q1, certain seasonal factors will impact results. Based on Q4 average asset levels, the impact of fewer days is expected to result in about $10.2 million in lower revenues and about $2.6 million in lower distribution expenses. In addition, based on an early assessment, compensation and related expenses are expected to be higher than Q4, primarily due to about $8 million of seasonally higher expenses for stock compensation and payroll taxes. Of course, these line items and others, including incentive comp, will vary based on multiple factors.
Operator: You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to lift your handset before pressing the star keys. One moment, please, while we poll for questions. Your first question for today is from Kenneth Brooks Worthington with JPMorgan.
Kenneth Brooks Worthington: Hi, good morning. Thanks for taking the question. First on distribution costs, if we look at distribution costs in the fourth quarter of this year compared to the fourth quarter of last year, they have jumped almost 25%, and essentially, all of that is coming from money market funds. But if we look at money market funds, the assets grew just 10%. So what is going on, and to what extent is there any sort of offset to these higher costs on the revenue side? Thanks.
Raymond J. Hanley: Hey, Kenneth. It's Ray. We had, last quarter, a significant amount of assets came into a share class where there are higher than average distribution expenses, and so that jumped by about $10 million last quarter in terms of both the distribution revenue and the related distribution expense. I think that's the majority of the attribution for the delta that you are speaking about. As you know, we have a lot of different share classes with different distribution fee arrangements, and so those kinds of changes in mix can impact that. As far as offsets, we do not really think of it that way. That is essentially the distribution expense that comes with distributing through the intermediaries, and we manage that the best we can. But there is no real direct way to offset that.
Kenneth Brooks Worthington: Got it. Thank you. And then this year, I believe there are five higher-profile PMs that are scheduled to retire. Can you talk about the transition of those PMs to the new leadership of those funds? And any impact you think it will have with your clients?
John Christopher Donahue: Yes, Ken. This is Chris. The succession planning that is going on here has gone on for many, many years. And in every one of those cases, on average, it is like you take someone who has been here thirty-five to forty years and replace them with someone who has been here from twenty-five to thirty years. And so we do not look for any disruption in the investment management techniques or performance, and we look for some great enthusiasm and opportunities by the new people coming in who get to call the shots now, whereas for a quarter of a century, they have been learning how it is done. And this is part of the methodology that we have used. We bring in people at the lower levels, train them, and it is part of the guts of our franchise for all seasons for keeping this ship estate moving along through the stalking waters.
Kenneth Brooks Worthington: Great. Thank you.
Operator: Your next question is from William Raymond Katz with TD Cowen.
William Raymond Katz: Great. Thanks very much. Just want to refocus on the tokenization opportunity. Sort of wondering if you could talk a little about what you are hearing from end demand from clients, if you can maybe break down your commentary between more of the institutional kind of investor versus the retail? And what milestones would you anticipate either regulatory or legislative that we need to see to sort of see a faster uptake in the opportunity set?
John Christopher Donahue: So I will comment a little bit, Bill, and then Deborah will comment. So on the end demand from clients, it is not as robust as what you might suspect from all the press media and, in fact, all the work we are doing on it. It is getting ready for tomorrow. And we expect this will be the way things go down the road. But the end clients are perfectly sanguine about using the current products in the current way. And when you ask about milestones, you have got to get lots of money moving into these things in addition to lots of work being done on how they are structured. Almost every week, there is another new structure and a new idea that is very intriguing. And this is what we are keeping our eyes on, and basically, we are working on all of them. And a milestone would be when you start to see real money moving into them. There could also be some regulatory things, and that is really hard to predict because you do not know what structures you are going to obtain. And this is true both in the US and globally. Maybe Deborah can talk to this, but when I was in Singapore and Hong Kong last year for the same event Deborah was, both of those and government entities, Singapore and Hong Kong, were most anxious to be the tokenized headquarters for trading money funds, and they were well down the road of organizing their government entities. But how much is in it and how much money is actually flowing there is another question.
Deborah Ann Cunningham: Thanks, Chris. So what we have identified in the US so far from a case perspective is generally on a distribution basis, diversification, and on a use case basis, for collateral purposes and for margining purposes. Both of which, the instantaneous settlement that is provided from a tokenized product impacts ultimately the ability to flow pretty quickly on a real-time settlement basis. In the context of the geographic diversification that Chris was talking about, certainly, when we look at what is more institutional use case that we have seen so far in the US, when we are in other parts of the world from our Archax partnership to the work that we have been doing from an Asian perspective, there is much more interest from what I would call sort of the multifamily offices. And so that is where the retail side of it comes in. Our product outlook has many additional use cases, many additional benefits that accrue to the end user. We feel like this is just the tip of the iceberg and that it will serve more purposes and more ultimate end user clients. It is just, as Chris said, a lot of work and dissection of markets and underlying strengths and everything that needs to be put into place to keep these high-quality products that we have in money market funds liquid and serving the purpose of all the end users.
William Raymond Katz: Alright. Thank you. And just as a follow-up, MDT has done very well for you for quite a while now. And it seems like it is off to a good start into the New Year as well. Maybe just a two-part question. What is the underlying driver of the demand? And then secondly, are there any capacity constraints as you look across that portfolio?
John Christopher Donahue: Well, let us deal with the second one first. Capacity implies a number, and we do not look at it exactly like that. It is a very complex question as to how to look at what you have raised. And as we have done in other cases, this is rigorously analyzed by PM CIOs and everybody on the basis that how can we continue to offer the product with the kind of alpha that it is being offered in the environment. We do not see any so-called capacity constraints at this time or in the foreseeable future. Now on the other question about the demand, the demand is across the board. So far, our enlivened Salesforce has been able to consult with a lot of people showing how the MDT various offerings and their pure style box discipline has caught on very well in the intermediary space. And as you have heard in my comments about big institutions also coming into this, it is also on the big separate accounts as well. And so the demand in short terms is both retail and institutional.
Thomas Robert Donahue: Yeah. Both, if you look at the Q4 net sales into MDT strategies, about two-thirds of it would be into the mutual funds and the newer ETFs. And the rest of it is institutional and separately managed smaller SMAs, separately managed accounts. So weighted toward retail. But even within that fund mix, there would be institutional applications.
William Raymond Katz: Great. Thank you for taking the questions.
Operator: Your next question for today is from Patrick Davitt with Autonomous Research.
Patrick Davitt: Hey. Good morning, everyone. First, maybe one for Deborah. We are much further along in the Fed cutting cycle now. So curious to get your updated thoughts on what you are seeing in terms of the potential rotation from institutions into money funds and to what extent you think there is still a lot of room to run on that theme with the curve potentially steepening here this year? Thank you.
Deborah Ann Cunningham: Sure. No problem, Patrick. You know, our outlook from an official perspective, from a firm standpoint, for 2026 is one rate cut by 25 basis points taking the rate three and a quarter to three and a half from a Fed funds target range. You know, we feel like if we are wrong, we are wrong by having maybe two cuts instead of zero, so wrong on that side of the equation. But in either case, you are looking at an end terminal rate that is north of 3%. With a positively sloped curve that probably allows you to generate something in the order of 20 to 30 basis points on a government product basis above where the bottom of that range is. So, you know, middle 3% type of numbers for money market funds. And you know, when you look at the low-risk products, the high quality, the instantaneous settlement that you get, especially if you are looking at the tokenized product aspect of it, you find that it is still very compelling from a use case perspective by both institutions whose general other comparison outside of the fund industry is direct market securities, so repo, treasury bills, commercial paper, where the positively charged yield curve should give the fund the advantage. And then on the retail side of the equation, if you have got a Fed cutting cycle or even a pause cycle, generally speaking, there are other common types of products to use for liquidity purposes, such as bank deposits, and those are well below where a fund can generate a yield, especially in a three-plus percent environment. So, you know, we saw a lot of retail growth driving the 2024 double-digit gains in the market from an AUM standpoint. The institutional side kicked in in 2025 to help generate those double-digit gains again. Maybe we only get single-digit gains from an AUM standpoint in 2026, but our expectation is it is still pretty positive from an environment standpoint.
Patrick Davitt: Thank you. Helpful. And then on the expense side, it looks like you are seeing a lot of positive operating leverage on the compensation ratio in particular, which I assume is a function of the large scale of money fund inflows. To kind of frame how you think that contracts in '26, do you think that operating leverage can continue? Assuming flat markets? Thank you.
Thomas Robert Donahue: Yeah, Patrick. It's Tom. Yeah. We had the comp numbers. As I mentioned in my remarks, because of the seasonally high stuff that happens in Q1, we certainly will have an increase in the expected increase in the comp number. And if we get the same kind of flows that we had in '25, we get that in '26 as we are trending in the MDT.
Operator: Your next question is from Dan Fannon with Jefferies.
Dan Fannon: Your next question is from Dan into this year and beyond. As you see on the footprint of what we have done on MDT, the first thing really is to expand the buckets or the wrappers that it is used for. They began as an SMA shop overwhelmingly and had a few hundred million back in the acquisition of funds. So it grew from just SMAs, and now it has a lot of funds. So then you saw us go into this the ETF then the CIT format, and then we brought out the market neutral which is as a fund and now as an ETF. So you will continue to see us seeing if there are more buckets or wrappers that we can use for MDT. And I k. And oh, one I did mention in the remarks is offering it where? format. And a usage is basically overseas through a usage format. And, of Irish registered for available for sale UK, Europe, and other places. And that is one where, you know, we raised $500 million over a short year last year. So it is new wrappers, it is new markets. And it is repeat the sounding joy of their investment expertise. Understood. And then Tom, just as a follow-up in terms of what you mentioned for the first quarter. So we have got from a fewer days, 10.2 lower management fees. And then given the real estate fees in the fourth quarter, and other in other revenues, we should assume that is also not recurring kind of going into '26?
Thomas Robert Donahue: Yeah. I call those unusual items. And because they really cover, we may get another couple million in Q1. It is, you know, we are still working on that. But, you know, to that level, I do not see that happening.
Dan Fannon: Understood. Okay. Thank you.
Operator: Your next question is from Brian Bertram Bedell with Deutsche Bank.
Brian Bertram Bedell: Great. Good morning, folks. Thanks for taking the question. Maybe two questions, both on money markets. Maybe just a first, Deborah, could you remind us just the seasonality trends that we might see for flows in money market funds in the first half? I think started with outflows early, a little bit of outflows early in January, if I am not mistaken. And then, of course, we have got, like, tax season coming up. So, maybe if you can just remind us of what you are expecting for the cadence of money fund flows for the first half of this year or just on a seasonal basis?
Deborah Ann Cunningham: Sure. On a seasonal basis, we generally January is usually our worst month of the year from an inflow basis. It is usually actually an outflow. First quarter said similarly, the corporate tax date, in March and then individual tax date flowing into the second quarter in April. Are generally big hits from a money fund AUM standpoint. And then the second half of the year is generally where the growth really picks up with December, you know, generally, again, being the highest quarter from a year-end, a year-end, you know, window dressing to some degree that is then reversed in January. What is interesting from a fund standpoint versus another type of product standpoint, so you know, generally, our separate accounts are state pools are in fact gathering money starting in the first quarter and going strong into the third core or the second the beginning of the third quarter and then they have large outflows that occur later in the third quarter and at the end of the fourth quarter. So the two kind of nicely offset each other from our own AUM standpoint, you know, which is a good thing. But from a strictly money market fund standpoint, it gets better as the year goes on.
Brian Bertram Bedell: Yep. Perfect. Thanks for that. And then the second one, a follow-up on the tokenization of money market funds. And thanks for all the comments on that. A bit of a multipart question here, but can you just describe in a little more detail the collaboration with Bank of New York and Goldman in terms of that mirroring process of tokenized money funds, how that is different from how you are talking with your other potential clients on tokenization opportunities. And then also on this on, you know, on being a stable coin reserve manager as opposed to a tokenized money fund manager, how do you see the opportunity for that role versus tokenized funds? And I guess over the long term, do you see the tokenization opportunity as incrementally additive to your money fund franchise? Or you know, might or might you know, for the industry that that cannibalize existing money market funds?
John Christopher Donahue: That sounded like three questions and a comment at the end. We will do our best to try and catalog them. For the comment at the end, you look at our charts, if you get them on page 14, you will see that we have over decades upon decades upon decades had higher highs and higher lows. And we would look at this effort along with other efforts like zero interest rates, and like all of the competition that has come in over the decades, we will continue to have higher highs and higher lows. Because the fundamental business is people have cash, or have money that they want daily liquidity at par. And so that is the engine. Now on the first of your questions, which was BNY and Goldman, I am reluctant to get too close into the details of it, but I will say this. The way that is structured creates tokens and they treat the money fund just like a good old-fashioned regular money market fund. So from our point of view, it is tokenizing the process. The client sees a tokenized vehicle, but from the point of view of the fund, it is almost like business as usual. And I will let Deborah comment on some of the others because maybe she remembers them.
Deborah Ann Cunningham: Well, what I would say in addition to what Chris just mentioned with the BNY Goldman collaboration is BNY is not only keeping its traditional books and letters on its books and records on a standardized ledger, but they are dual processing on the digital ledger. So it is a way of tiptoeing in the market and having, you know, both belts and suspenders attached to give underlying clients comfort that this process is, in fact, airtight and working what it should be. So that is kind of the unique aspect of the BNY Goldman collaboration at this point. At some point, there will be, you know, the belt or the suspender will go away, and it would just be the digital ledger where the books and records are maintained. But for this particular product, it is being doubly addressed. The part that you asked about stablecoins versus a tokenized money market fund, because of the Genius Act and some of the other regulatory changes that occurred or elaborations that occurred in 2025, we have learned that stablecoins have to be backed 100% by some form of what is a defined type of collateral. That is where our Genius Act funds come into play. And what stablecoins are not allowed to do from a competition standpoint with those funds is pay an interest rate or pay a dividend. And so the stablecoins for us represent an additional client base for which the tokenized money market funds that are managed under the rules and regs of the Genius Act can be the collateral that backs those stable coins to get the 100%.
Brian Bertram Bedell: Mhmm. Right. Right. Without that, can get better. Without being. Yep. Yep. Okay. Any just any sense of the number of entities that you are talking with now on the tokenization effort? I do not know if you can disclose that or not. Is it, you know, in the dozen?
John Christopher Donahue: I can pass on that one.
Brian Bertram Bedell: Okay. Yep. No worries at all. Thank you so much for the color.
Operator: Next question for today is a follow-up question from Patrick Davitt. Your line is live.
Patrick Davitt: Hey. Thanks for the follow-up. I just wanted to clarify the AUM numbers you gave are all as of January 23. Is that correct?
Thomas Robert Donahue: The AUM numbers are actually as of the 28th. The net sales numbers that we gave were as of the 23rd.
Patrick Davitt: Okay. And then so I guess that would suggest then that the money funds have net inflows through the 28th, but against the fund data showing like, $9 billion of outflow. So I guess fair to assume that there is a big amount of separate account inflow?
Thomas Robert Donahue: Yes. Yes. That is correct. Yep. And it really is bucking the trend. It did it last year. It did it this year. Yeah. And I think a lot of that has been influenced because of where the Fed has been and where we think they will be in 2026.
Patrick Davitt: Great. Thanks. And then one quick one. The $10.2 million fee decline, that is just management fees, not including the real estate?
Thomas Robert Donahue: That yeah. That is management fees, advisory fees, and distribution fees. Essentially, fees that are daily based. So it
Patrick Davitt: Got it. Okay. And there was and you and go ahead.
Thomas Robert Donahue: Yeah. I was gonna say, Patrick, it may be worthwhile for Saker to comment further on the, you know, $8.2 million where we got the development fees. And Chris made a comment in his remarks about we won, you know, a new project over there. And, you know, it may be worthwhile for Saker to make a comment on that.
Saker Nusseibeh: Thank you. So the fees are by our development company, MEPC, in the UK. MEPC in our view is the leader in the things we call place development. We basically develop for clients who invest with us, estates, manage the buildings, rent them out, and when the time is right, sell them for them. And we have got a successful long-term track record of that throughout the United Kingdom. The two estates that we are talking about are in the North Of England. One is called NoMa, and the other one is called Wellington Place. One is in Manchester. The other one is in Leeds. One is 500,000 square feet. The other is 1,400,000. Now the skill of MEPC comes in two sides. The first one is the preparation for the development, and that is with close cooperation with the local government and the community. That is partly why we have such strong development potential and why we managed to let it. And the second one is the way we develop them in a way that makes them attractive spaces. So far, these have been office-based spaces, and they have seen great success, particularly with the move of companies who moved their offices, including some major US companies from London up north. And the government actually, which has done the same. Participants in it because it is ready to go, which is an important phase that is half the difficulty of developing. At the same time, as Chris mentioned, we won a very major bid to do a development project also in the North Of England, this one with much more mixed, but towards living, in fact. It is not offices say it is much more mixed, but towards living. And that is very exciting because that is part of the pivot towards living and developing living space. And, again, there is a huge demand in that part of the world. And the same skills apply. The ability of every PCR developer to work with the local government, the ability to get the permits, and then the ability to develop something which is actually attractive to the market both for people to come into it, and, of course, for the investors to get very strong returns out of it.
Patrick Davitt: Thank you. Yeah. Thank you. I just want to go back to the $10 million. I just want to make sure I heard what you said exactly correctly. It is based on average AUM in the fourth quarter,
Thomas Robert Donahue: Yes. So if end of period is 3% higher, it is something lower than that. If we use end of period.
Patrick Davitt: Yeah. I think that is correct. Okay. Okay. Cool. Thank you.
Operator: Your next question is from John Dunn with Evercore.
John Dunn: Thank you. Wanted to ask just given where we are in the cycle, kind of your appetite and also the potential and outlook for money market roll-ups.
John Christopher Donahue: The potential for money market roll-ups is almost entirely a function of the owner-operator of those other money funds. Over time, with increased regulation and increased oligopolization of this business, we have shaken out a lot of those money fund rollouts. Where they occur is when people are deciding to move a family of funds they happen to have some money markets in them. Then those are opportunities. But as we have said before, if you are running an even a smaller-sized money fund operation and you control the right to redeem, then you are not as worried about what you need to do for the future even if they are not as economic as they may otherwise be. We have also seen it occur where in some of our bank trust clients, where over the years maybe a family of funds or a family of money funds in the trust world does not make a lot of sense even though they do control the right to redeem. Then they have new leadership and then all of a sudden, we are back being looked at as a warm and loving home. And many of these deals we started in the eighties and nineties and sometimes it takes them that long to mature. But there is no direct pipeline. You cannot just put chapter and verse on it. But periodically, they show up.
John Dunn: Got it. And then just maybe on the outlook for the strategic value dividend fund. Where do you think it goes from here? From a flow perspective?
John Christopher Donahue: Well, the flows in all, if you add the whole thing of strategic value dividend, they are positive flows even though the fund is down. And notice that the ETF is up. And what you ought to learn from that is that people are actually understanding exactly what that fund is. It is a dividend-oriented fund. With a four and four approach. You have 4% dividend growth and 4% dividend. And they have been doing it for twenty-five years. And this is a good situation. So even though its Morningstar category rating is one side or the other, it is a very good steady long-term product. And we have I think we are up to $36 billion in it overall. And we expect it to continue to grow.
Thomas Robert Donahue: And it is off to a very solid start so far in January through yes. It is up about 5.3%.
John Dunn: Great. Thank you very much.
Operator: We have reached the end of the question and answer session, and I will now turn the call over to Ray for closing remarks.
Raymond J. Hanley: Well, that concludes our call, and we thank you for joining us today.
Operator: This concludes today's conference. And you may disconnect your phone lines at this time. Thank you for your participation.